Operator: Greetings, and welcome to the Oshkosh Corporation Reports Results for Fiscal 2011 Second Quarter. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation. Thank you. Mr. Davidson, you may begin.
Patrick Davidson: Thanks, Rob. Good morning, everybody, and thanks for joining us. Earlier today, we published our second quarter results for fiscal 2011. A copy of the release is available on our website at www.oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months, and please refer now to Slide 2 of that slide presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different. These risks include, among others, matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. Presenting today for Oshkosh Corporation will be Charlie Szews, President and Chief Executive Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Let's begin by turning to Slide 3. And now I'll turn it over to you, Charlie.
Charles Szews: Thank you, Pat, and good morning, everybody. Let's get started. For the quarter, our sales increased 39% to $1.75 billion, leading to operating income of $132.4 million and earnings per share of $0.74. Lower sales and earnings compared to prior year quarter were expected as we delivered nearly 3,000 M-ATVs in the second quarter of fiscal 2011 compared to none in the current quarter. I want to highlight a few points and we'll then discuss them in more detail later in the call. First and foremost, we are proud of the strong performance turned in by JLG in the Access Equipment segment. While not at pre-recession level, this segment delivered significantly higher sales to external customers and was solidly profitable in the quarter. I should note that there were no M-ATV-related sales in the quarter from this segment to our Defense segment. Second, we continue to work hard through a challenging launch of the FMTV program at our Oshkosh defense factories in the second quarter. Trucks and trailers were still being sold at a low volume during the quarter, while our deliveries have picked up since then. We plan to triple our daily production rate by the end of calendar 2011. And third, we continue to generate positive free cash flow and reduced our debt by another $50 million during the quarter. Let's take a look at some of the operating highlights by turning to Slide 4. We talked about JLG beginning to turn the corner on our last call, and we believe that it's indeed taken place. Orders for the quarter were up significantly or sequentially from the first quarter and year-over-year, leading to a 193% increase in backlog to $596 million at March 31 in this segment. Both orders and backlog are at their highest levels since the recession began. We participated in a very active and lively ConExpo last month in Las Vegas. In fact, many of you listening today attended the show and had the opportunity to experience the excitement firsthand as we took you through our Access Equipment Commercial segment booth. Attendance was the second highest ever for the show, with strong order intake during the show. I think all attending would agree that there was an air of confidence, anticipation and excitement from attendees. The launch of the Family of Medium Tactical Vehicles program is a major activity for our company. It's been a challenging ramp up as our contract included higher technical and quality requirements than the previous FMTV contract. We have implemented production processes that were new to Oshkosh, in part to address new contract requirements, and that required a supply base to implement these changes as well. We have resolved most of the initial startup issues and increased deliveries in April. Next in line is to triple production levels over the remainder of this calendar year due to higher orders than anticipated at the time of our bid, which will cause us to rearrange our factories and incur additional startup costs. During the second quarter, our focus on startup issues and production ramp up caused us to divert resources from our cost reduction teams to our launch team. The net effect is that we incurred startup losses in the FMTV program in the second quarter and don't expect this program to be profitable until fiscal 2012. We continue to execute on our other defense programs even as we ramp up on the FMTV program. We had a strong quarter of vehicle deliveries under our FHTV program, and we continue to deliver high volumes of M-ATV parts as expected. Key orders that we announced during the quarter include 2,080 M-ATV underbody improvement kit that should be delivered by the fourth quarter, as well as an order for 60 of our massive heavy equipment transporters for the United Arab Emirates. We received a stop work order in the quarter related to our previous award for 250 M-ATV ambulances. This is a development program, and U.S. government is investigating another option for delivery of ambulances into the theater. We continue to work at our own expense during the quarter to further refine this product including successfully completing blast test in the vehicle at the Aberdeen Proving Grounds earlier this month. We believe our vehicle is the best-suited ambulance to serve our troops in Afghanistan. M-ATV ambulance's unmatched operable mobility, with the ability to carry more patients than other MRAP ambulances and permits much faster and safer ingress and egress of patients on the battlefield among other benefits. We are pleased with the rapid development of this M-ATV variant. But this time, we have removed this business from our fiscal 2011 sales estimate. During the quarter, we experienced further deterioration of businesses serving municipal markets. In particular, our Fire & Emergency segment experienced very low demand leading to a disappointing operating loss in this segment for the quarter. Adverse product mix and cost to relocate our Oshkosh specialty vehicles and Medtec ambulance businesses to our facilities in Florida further contributed to the loss. Our quarterly market share in the fire apparatus market increased slightly compared to the prior year, so that is not a factor in the results. Over the next few months, we'll be working to lower our cost structure in the Fire & Emergency segment to adjust to new lower demand levels, which we expect to be sustained for the near term. Industry demand for refuse collection vehicles has also declined due to municipal fiscal challenges. However, we were able to sufficiently reduce our cost structure to allow us to turn a small profit in the Commercial segment in the quarter. In response to the escalating commodity costs, we have raised prices in most nondefense businesses in recent months. We generally have been realizing the higher pricing in new orders, especially in our Access Equipment segment, where we believe supplier capacity constraints are beginning to impact overall industry shipments. As a result, we fervently believe that across our company, we will be able to recover most of the commodity cost increases that we expect to incur over the next few months. Please turn to Slide 5 to review market condition across our company. Access Equipment demand continued to improve in most of our markets in the quarter, even Europe, which have been lagging in the turnaround in other markets around the world began show signs of improvement during the quarter. Both Europe and North America are experiencing mainly replacement demand, while product penetration and construction-related demand is driving many of our other international markets. We expect the trends from improving Access Equipment sales to continue through the remainder of fiscal 2011. Our view is based on what we are hearing from our customers, continued improvement in key data points as track by Rowes Asset Services [ph] and the positive customer interest we experienced at ConExpo. We are also starting to see some smaller rental companies have some success in securing financing for access equipment purchases. And I wouldn't say the lenders have opened the floodgates for smaller -- for financing smaller rental companies but definitely a step in the right direction. In our Defense segment, the long-awaited U.S. fiscal 2011 federal budget was passed earlier this month. Next stop for the U.S. government is to pay us the fiscal 2012 budget. As a result of the late signing date to the fiscal 2011 federal budget, an alternate budget proposals for fiscal 2012 announced by the President and members of Congress, we believe that there could be continued pressure on U.S. defense spending level that could impact our programs. We do believe, however, that the passage of the fiscal 2011 federal budget will enable the Department of Defense to move forward a number of initiatives that we are particularly interested in. Specifically, we now believe that both the U.S. Army and the U.S. Marine Corps will launch request for proposals for Humvee Recap programs yet this fiscal year. These will likely be multiyear programs to recapitalize a portion of existing Humvee fleets. And we continue our efforts to re-enter the JLTV competition when the RFP for the next phase of that program is issued. We expect the RFP for the engineering and manufacturing development phase of the JLTV program to be issued late this summer or early autumn. As many of you know, our government customer can order our FHTV through September of this year under the current contract with deliveries continue through October 2012. At the Tactical Wheeled Vehicles conference in February, the FHTV program office announced that it intends to issue a bridge contract to Oshkosh to continue producing FHTV, while it develops a path to complete this program in 2013. At this time, we don't have more details on what the size of a bridge contract might be, but we do look forward to continuing to produce vehicles under the FHTV program past October 2012. Similarly, we expect to produce both MTVRs and LVSRs for the Marine Corps beyond 2012. Internationally, we are competing for the Canadian TAPV program, where their proposal due this summer. Additionally, we plan to compete for the Canadian Army's medium payload truck program, the MSVS. This program has been delayed but we expect to see an RFP some time in the next 6 months, and we continue to pursue global opportunities for the M-ATV. We remain optimistic about our prospects for selling this great vehicle internationally. Moreover, as we have previously mentioned, the process of selling military vehicles internationally, especially armored military vehicles can be a long drawn out affair. The latest fire apparatus market data showed that the industry continue to hold at an annualized rate of about 3,800 units. Moreover, the latest quarter includes several large international orders, including the gun order that we received for more than 100 units. Excluding these orders, the market trend would be for an annualized rate closer to 3,600 units. Continued pressure on this while spending is negatively impacting this market. At this time, we don't expect to see meaningful improvement in the domestic fire apparatus market and neither the remainder of fiscal 2011 or 2012. We will continue to combat the weak market conditions by focusing our efforts to grow our domestic market share through new product introduction and strong customer service. We will also continue to pursue international opportunities. We've had good success internationally at both fire trucks and airport products and believe we have the right strategies to grow these sales even more. The refuse collection vehicle market in North America remains down although not nearly to the extent that we experienced with concrete mixes. Municipalities continue to struggle finding capital for new vehicles. We remain the market leader and have responded by continuing to launch new product, which expect will drive sales in the future. Recent launches of our lower height, low pro unit and our zero-radius side loader are doing very well. We are building on this success with additional new products that we'll be launching at WasteExpo next month in Dallas. These products are designed specifically to achieve success in our domestic and certain international markets. As I mentioned earlier, our domestic concrete mixer market is still not in recovery mode. We really need to see a pick up in residential construction before we would expect to see a pronounced increase in concrete mixer sales. Interest in CNG-powered vehicles continues to grow, however. CNG-powered units are attractive as they offer cleaner emissions and reduce dependents on foreign oil. The economics continue to improve as the price of oil has again risen for more than $100 per barrel. We've been building and delivering high-quality CNG refuse collection vehicles for several years now, but the addition of CNG mixers to our product lineup rounds out our offerings very nicely. Last month at ConExpo was the first time that we have displayed CNG-powered concrete mixers at a trade show and offered them for sale. We have already received some orders for CNG concrete mixers. Last November, I said that we would report on our progress with respect to principal business initiatives each quarter. Let's turn to Slide 6 and I'll provide an update on our operations initiatives. We're making good progress in the facility optimization activities that we discussed during the last call. Manufacturing at Pierce's Bradenton Florida facility has been completely reconfigured. We now have fire truck manufacturing at this facility running down one automated manufacturing line. We have moved Medtec ambulance production into this facility and are currently ramping up production of that product line. We also moved fabrication of Oshkosh specialty vehicles to this facility. In the Access Equipment segment, we recently reached agreements with the work councils at our Belgian facility and are getting ready to transfer some of the production to our facility in Romania. We also made significant progress during the quarter manufacturing our JerrDan car carriers and wreckers at our JLG facility. Production is back on schedule and we're starting to build stock unit. We're producing high-quality vehicles to help our customers perform their critically important jobs. We're also on track to realize the savings identified when we put the plan for JerrDan together. As we stated last quarter, we continue to review our manufacturing footprint across all segments. The FMTV production launches consumed many of our resources but we plan to devote more attention to this initiative in the third quarter. We are continuing to launch the Oshkosh operating system across the company. Our approach is to sustain continuous improvement in our facilities, which will be important to our future success. Of course, we're all saddened by the tragedy in Japan last month. On the operations front, we have been communicating very actively with our suppliers and business partners, who have direct and indirect exposure to Japan. We have experienced some part shortages particularly related to engines and transmissions. We are working through Countermeasures to seek sustained planned shipment. It is difficult, and it's a situation we continue to monitor. Please turn to Slide 7 and we can talk some about our industry leading innovations that we expect to drive our future success. Market-leading innovations. Another initiative, it's just that. For example, at ConExpo, JLG launched a collection of new products including the new 150-foot Ultra Boom, which is designed to be more transportable than competing product and at 150 feet, is the largest self-propelled telescopic boom in the market. This product has been very well received by our customers as evidenced by the number of orders we received at ConExpo. Likewise, we introduced our 340AJ, which is a 34-foot Articulating Boom lift with a heavy lifting capacity and our new compact crawler boom family, which is built in Italy by one of our business partners. Order rates have also been strong for these new products. As I mentioned, ConExpo saw the introduction of our CNG-powered concrete mixer truck, an industry first. We have performed several very successful demonstrations to this vehicle already and are beginning to take orders after [indiscernible] booth were able to see the simple and effective improvements we're making using CNG-powered mix -- using a CNG-powered mixer. With oil prices escalating, some ready-mix companies are considering whether to advance their replacement purchase decision to take advantage of lower operating cost with CNG. Running almost concurrently with ConExpo was the annual FDIC trade show, the largest U.S. fire industry show. Pierce again led the way. We started the show with our new Dash CF for TAK-4, which adds significant space for the driver and captain, enhance the safety and improves service ability, to name just a few of the improvements we added by dropping the engine and transmission back in between the frame rail. It's the first custom fire chassis designed around the driver and captain to enhance their situational awareness and ability to perform their mission. Additionally, we recently announced our new licensing agreement for North America's Bronto. Bronto's a premier provider of extended reach equipment and will enhance Pierce's product offering. Finally, we continue to innovating defense. We mentioned our plans for the HHMMWV Recap, JLTV, and the TAPV in Canada, where we've built prototype vehicles for each of those programs and commence testing of the vehicle. And we have developed a truly next-generation M-ATV ambulance designed for the most demanding battlefield, that is quick to the scene, quick to locations ergonomically and provides ample spacing compartment for medics to care for wounded warriors. This vehicle can also be quickly transformed to be a safe troop carrier. We have also begun work to ship several hundred of our tactical protector vehicles or the SandCat to the Mexican government for use along the U.S.-Mexican border. Okay, please turn to Slide 8, and Dave will take us through a brief discussion of our financial performance for the quarter and our expectations for the remainder of fiscal 2011.
David Sagehorn: Thanks, Charlie. Consolidated net sales for the second fiscal quarter were $1.75 billion, a 39.1% decrease compared with the same quarter of last year. Lower M-ATV-related sales were the largest driver of our lower revenues in the quarter. We had $249 million of M-ATV-related sales in the second fiscal quarter compared with $1.6 billion in last year's second fiscal quarter, when we delivered nearly 3,000 M-ATVs to the Department of Defense. Sales to external customers in our Access Equipment segment continued to improve, up 72.7% compared to the prior year quarter. Similar to our first fiscal quarter, orders from external customers nearly doubled and backlog almost tripled compared to the prior year quarter. Sales in our Fire & Emergency segment were down again this quarter, reflecting the challenging municipal spending environment. And our Commercial segment was able to post a small increase in sales as compared to the prior year quarter. Operating income for the quarter was $132.4 million or 7.6% of sales compared with $494.3 million or 17.3% of sales in the prior year quarter. Lower sales volumes were the largest driver of the decrease in operating income and operating income margin. In our Defense segment, we incurred a loss on the FMTV program in the quarter due to startup expenses of $13.5 million described earlier by Charlie. Separately, we also recorded approximately $15 million of higher revenue and income on undefinitized [ph] contract as a result of cost estimate changes. With no M-ATV-related intersegment sales in the quarter, operating income for the Access Equipment segment reflects only Access Equipment related business. As a reminder, we do have slides highlighting drivers of the financial results for each segment in the appendix of this morning's slide presentation. Our tax rate in the quarter was 39.5%. The effective tax rate for the quarter was negatively impacted by unbenefited losses in certain foreign jurisdictions and lower consolidated income. Earnings per share for the quarter was $0.74 compared to $3.22 per share in the second quarter of fiscal 2010. The decrease in earnings per share was largely the result of lower M-ATV volumes compared to the prior year quarter. We also paid down $50 million of debt in the quarter as a result of positive cash flow generation. Please turn to Slide 9 for a discussion of our fiscal 2011 outlook. We currently believe full year sales for our Defense segment will be between $4.1 billion and $4.2 billion. This is down from our previous estimate range of $4.4 billion to $4.5 billion. We noted in our last earnings call that some of our estimated fiscal 2011 sales were dependent on the fiscal 2011 U.S. federal budget being signed on a timely basis. The April signing of the federal budget will cost between 700 and 750 FHTV units included in our prior estimates to sweep in to fiscal 2012. In addition, we have removed the M-ATV ambulance revenues that were previously included in our fiscal 2011 sales estimate. Partially offsetting these reductions in our sales outlook is an increase in our estimated aftermarket sales due to receipt of an order for 2,080 M-ATV underbody improvement kit and other aftermarket parts orders. We continue to believe that full year operating income margins in the Defense segment will be in the low double digits. We expect that higher than previously estimated FMTV volumes in our third and fourth fiscal quarters at low single-digit negative margins will result in significantly lower operating income margins in these quarters compared with the segment operating income margin in the second fiscal quarter. We also believe that Defense segment operating income margin in our fourth fiscal quarter will be lower than in our third fiscal quarter as FMTV volumes are expected to represent a much larger portion of the segment's volume. Another quarter of improved Access Equipment orders from external customers leads us to be incrementally more positive above the fiscal 2011 prospects for this segment. Sales to external customers in the first half of fiscal 2011 were up more than 50% compared to the prior year. We don't expect to maintain that pace for the whole year, but we do believe that this segment will achieve strong full year sales gains to external customers. We continue to believe that operating income margins in this segment, including costs associated with the restructuring actions that we announced in our first fiscal quarter will be in the low single digits for the full year. We currently believe that restructuring charges and other costs related to these actions will total approximately $13 million to $18 million in fiscal 2011, including $11.2 million of cost incurred in the first half of the fiscal year. We expected that these actions will result in approximately $16 million of benefits on an annualized basis. Due to weak fire truck markets and underperformance in our Fire & Emergency segment in the second fiscal quarter, we are significantly lowering our expectations for fiscal 2011 results in this segment. While we believe that the segment will be profitable in the second half of the year based on scheduled deliveries currently on our backlog, including a few multiunit international orders, we expect that full year operating income margins will be significantly lower than in fiscal 2010. Also, we expect to incur an additional $5 million of costs in the fiscal year associated with previously announced restructuring actions. We expect these actions and other cost reduction activities to result in an annualized benefits of approximately $12 million when fully implemented. Our outlook for the Commercial segment for fiscal 2011 remains similar to our last quarterly earnings call. We expect concrete mixer sales in the U.S. to remain at historically low levels with expected international sales providing some upside to the U.S. sales outlook. We now believe that refuse collection vehicles sales will be slightly lower compared to fiscal 2010. We continue to believe that operating income margins business segment will be slightly lower than fiscal 2011, which benefited from a LIFO inventory accounting. Cost reductions implemented earlier this fiscal year are expected to result in $5 million of savings in fiscal 2011 and $7 million on an annualized basis. I'll close by noting a few additional items. We believe our corporate expenses will be higher than last year due to investments to support our growth initiatives. We also expect our full year tax rate will approximate 36%, and we now estimate that our capital expenditures will be approximately $100 million to $110 million and that we will deliver further debt reduction although the pace of that reduction may be lumpy over the next 2 quarters. I'll turn it back over to Charlie. Please turn to Slide 10.
Charles Szews: Thank you, Dave. We've been talking about fiscal 2011 as the transition year over the past couple of quarters and during investor conferences. We will miss last year's record results but we can transform our business and build a strong foundation for future growth. We're excited about the possibilities that we see, especially in our Access Equipment segment. Part of our excitement is the result of the opportunities we see for global growth of this product. We're also pursuing global growth opportunities in our other segment, and we have a number of opportunities that we are pursuing at our Defense segment that would provide solid revenue streams for a number of years. We are very engaged in active leadership teams and employees across the company, where the drive to build on the success of the company has achieved in the face of some very challenging circumstances over the last several years. While it's true that we still face challenging market conditions in several of our businesses, it's also true that we offer the most extensive product lineup in nearly all of our markets. Now we set in motion a number of operational improvements across the company that we believe will enhance our performance going forward. For those of you who own Oshkosh stock, thank you for being loyal holders, and thanks to the rest of you for participating with us this morning on the call. At this time, I'll turn it back over to Pat and the operator to begin the Q&A.
Patrick Davidson: Thanks, Charlie. [Operator Instructions] Rob, if you want to begin the Q&A period, we'll take some of them.
Operator: [Operator Instructions] Our first question is from the line of Ann Duignan with JPMorgan Chase.
Ann Duignan - JP Morgan Chase & Co: Can we talk a little bit more about the FMTV program? Can you explain exactly what these higher technical and quality requirements are? Are they any reflection on the lack of quality in prior contracts? And then beyond that, have there been any penalties imposed by the government because of late shipments? And what gives you the confidence that, that program will be successful? Should we be concern that ramping up higher volumes of these programs will just compound the losses as we go into 2012?
Charles Szews: Okay. That's a multiple-part question there, Ann, so I'll do my best here. Our contract is clearly different than the prior incumbents contract. It has new requirements on things like no wells better on cargo bodies or caps, which requires new welding equipment for us to install. It had deleted the ability to use certain chemicals in the processes that our suppliers use in building the component that disrupt the supply chain. It had building armored cabs, encoding armored cabs at high volumes, something that's never been done anywhere in the world before. So there are number of things that are different. Our customers also is trying to take the whole industry to automotive quality kind of standard, so they're auditing processes versus the final end product and expecting quality at the end. So they're instituting a lot of new changes in this program that we haven't seen at test. We've also had a lot of errors in the technical data package that we've had to contend with the new suppliers. Having said that, our relationship with our customers is tremendous. So we've had some comment to the fact that they haven't seen a launch of something this big and this complex this well. Our relationship with our customers is very good in this program, and it reflects some of our people working night and day for a long time on it. So no, there are no penalties. I don't expect that there will be. I think they were also being shown as somewhat of a poster child because there's a recent report that came out on the Ann Curry law [ph] that from the FMTV program with Oshkosh. So I think the relationship is good. Should we be concerned? Well, obviously, we're concerned when we hit a loss in the quarter on the FMTV program. Having said that, we have a tremendous team between our, call it, manufacturing team that's taken oversight over this program to our global supply chain team. But we have active teams working to take our cost structure down. We have active teams working to triple production here by the end of calendar 2011. And I'm confident in this team. I do expect that we'll be profitable on this program starting in 2012, but this is something we manage on a daily basis. We have meetings every morning and every afternoon to manage this program, so that it will be effective.
Ann Duignan - JP Morgan Chase & Co: And just from a modeling perspective, could you tell us what kind of volumes you shipped in the quarter, tractors and trailers? And then I know you said triple the revenues by year end, but just take us through a bridge from what you accomplished this quarter through the end of the year?
Charles Szews: Yes. At the present time, we're building approximately 10 per day of trucks and expecting to triple that by the end of the calendar year. So it gives you a sense of what that means. In terms of shipments, we're not going to start telling every program what we shipped every quarter. But I can tell you that we're still expecting that FMTV sales will be 10% to 15% of our sales in the segment for the year, and our shipments to date have been light. And they pick up pretty significantly starting in April and going through the rest of the year.
Ann Duignan - JP Morgan Chase & Co: Okay. I appreciate that. And just one real quick follow-up on a different subject. On the Access Equipment, you know that Europe is better than perhaps a quarter ago. A lot of those products end up in the agricultural sector in Europe. Could you talk about just what you're seeing in markets in Europe? Is it Ag related telehandlers in the Ag sector or is it construction-related?
Charles Szews: Well, our shares in telehandlers are very significant in the United States, North America, really, across the Americas. In Europe, they're pretty light. And so now having said that, our telehandler business is up in Europe and there is a component to it. But I think what we're seeing overall in our business in Europe is frankly, increasing replacement demand, very similar to what we're seeing in the United States. We're not seeing increases of the construction spending or anything like that, that drives higher volumes. It's more that their fleets are aging and there's a need to replace older fleet.
Operator: Our next question is from Steve Volkmann of Jefferies & Company.
Stephen Volkmann - Jefferies & Company, Inc.: Just I don't know if it was just me but when you said the build rate per day on FMTV, you just stated out, I don't know if you have the number?
Charles Szews: Okay. The current build rate is around 10 trucks per day, And we expect to ramp, triple that by the end of the calendar year.
Stephen Volkmann - Jefferies & Company, Inc.: So we go to 30 per day by the end of the calendar year. And that's a higher ramp than I think we're talking about last quarter, right?
Charles Szews: I'm not sure we gave that specific of a guidance on that. But the original evaluated bid was in the 15 to 16 per day.
Stephen Volkmann - Jefferies & Company, Inc.: Okay, good. Can you talk a little bit about this ambulance contract? I guess, I'm confused. Why would they be reevaluating that? And what do you think is going up behind the scenes there?
Charles Szews: I'm not going to be able to give you a whole lot of color there. It's the development contract between Oshkosh and the customer. To accommodate our customer, we lean forward and blast it and early initial design and field. We explained our path forward to alter the design, sustain the original production schedule. Our customer chose to issue a stop work order. We recently passed the blast testing of the vehicle in line with our original timeline, which have enabled us to sustain production deliveries under the original timeline, and perform extremely well in those blasts tests. And it's a great vehicle. We work with the Army medical command to make sure they get what they want and what they need. It's designed for the medic and for patient. It's great M-ATV like mobility and protection, and right now we're waiting what the customer is going to do.
Stephen Volkmann - Jefferies & Company, Inc.: Do you think they're looking for a lower cost solution?
Charles Szews: I don't want to speculate here on the phone.
Stephen Volkmann - Jefferies & Company, Inc.: Okay, fair enough. Can I just ask you, I'm a little surprised, I was surprised by the margin on Access, it was a little better than what I was looking for and yet you don't really haven't raised the overall margin forecast but it would seem like given the progress you made this quarter that there should be some upside to that margin this year. Am I reading that wrong? Is there come cost headwinds in the second half?
David Sagehorn: Obviously, we're facing some higher commodity costs in the second half of the year, we're also doing quite well in getting price increases generally. So I think those 2 are going to kind of offset. The bigger issues that we have in this segment is just availability of component and it's kind of driving where our production and shipment levels will be in the remainder of the year.
Stephen Volkmann - Jefferies & Company, Inc.: Are there some specific components that are sort of slowing you down and then I'll pass it on?
Charles Szews: Well, I made some comments, some prepared comments about Japan is impacting us to an extent where we're having issues getting driveline component. And just typical kinds of things that happen when industries are rebounding and suppliers are ramping up production levels again from low levels. So mostly normal type stuff I would say, but it is impacting us here and there in our product line.
Operator: Our next question is from the line of Jamie Cook of Credit Suisse Group.
Peter Chang - Credit Suisse: It's actually Peter Chang in for Jamie Cook. Charlie, you had made a comment in your prepared remarks that some of the smaller rental players were able to get some financing. What is your view on for the remainder of the year between the large rental players and the small rental guys, what the mix is going to be? And have you seen any type of pick up and what was the mix in the second quarter?
Charles Szews: Okay. I still think the remainder of the year in North America, the rest [ph] of companies, they're still going to be the predominant volumes that we're going to see. And as far as the specific mix, I don't think we've ever provided that. I don't think I'm going to start to do that today. But we are seeing, where some of the smaller rental guys are starting to get some financing and it's probably modestly better than what we thought it would be at this time in the cycle, at least their ability to finance new purchases.
Peter Chang - Credit Suisse: Okay, great. And just a follow-up on the FMTV costs. Are you expecting any cost recovery on these additional set of charges? Or do you just expected to make it back on, due to absorption benefits for the higher production? And I know you've sort of given some idea what profitability would be as you ramp something like starting in the low single digits. Should you -- should we expect that to be the case kind of in the middle of 2012 and then, additional growth as you produce more?
Charles Szews: Not sure I understood the back half of your question. But with respect to our incurred startup expenses, do we expect to get any recovery? We certainly don't have it in our estimates today of recovery, and I don't see it right now as a possibility. And if there is, it's a small amount that probably are not relevant. We do expect to be profitable in fiscal 2012, and we've got a number of initiatives in place to take our -- reduce our material costs, improve our labor efficiency and it's just hard to do all of those at the same time that you're tripling production. And I think that's the conundrum we're in right now. But we would expect to see as we said in our prepared remarks, low single-digit losses in the program and in the second half of the year and then starting to be profitable in fiscal 2012.
Peter Chang - Credit Suisse: But you wouldn't be willing to provide some kind of range for '12 profitability, would you?
Charles Szews: Not at this point. Maybe a couple of quarters from now, we'll give you a better view.
Operator: Our next question is from the line Peter Skibitski of SunTrust.
Peter Skibitski - SunTrust Robinson Humphrey, Inc.: I want to -- on the undefinitized contract. I just wanted to -- was that actually the M-ATV contract?
David Sagehorn: It was M-ATV related. It was a variant that there that was an urgent need for low quantities in general but it was a variant to the M-ATV.
Peter Skibitski - SunTrust Robinson Humphrey, Inc.: Okay. So you booked 15 million on it and now it was canceled? Is that what happened?
David Sagehorn: No. We completed the production of the units with an undefinitized contract many times, why the government uses that mechanism is either the design or the cost is not known at the time of entering into the contract. And that is continued to be worked on as units are completed or modifications are made to a vehicle. And this is just the mechanism that allows the government to be able to move forward when they do have an urgent need like that.
Peter Skibitski - SunTrust Robinson Humphrey, Inc.: Okay, I understood. And then just one follow-up. Just want to get some clarity. Are you guys expecting Access volumes to continue to ramp sequentially through the year from here? And can you kind of give us a sense of what lines are going the fastest, is it AWPs or telehandlers or the other?
Charles Szews: We would expect quarter 3 revenues to be up in Access. Our quarter 4 typically would be a seasonal decline from the third fiscal quarter. That's our typical pattern and reflects our guidance today. It's just a typical seasonal pattern for this kind of business.
Peter Skibitski - SunTrust Robinson Humphrey, Inc.: Okay. And then, which are the lines is going the fastest for you?
Charles Szews: We're seeing solid strength in airlift platform, serialist [ph], telehandlers really globally.
Operator: Our next question is coming from the line of Jerry Revich of Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc.: Charlie, just a clarification on the aerials outlook. Despite the supply chain headwind, you raised your sales outlook and you put through price increases and you'll get a tailwind from currency versus your prior outlook. I guess, I'm not sure I understand what the margin headwind that keeps you from being more constructive on incrementals?
David Sagehorn: Jerry, when we said low single-digit margins previously, we view that as a range. And I would say that we are incrementally more positive on the margins for the segment than we were previously but we still think it's in that range. We did have, as you know, the loss in Q1 that we need to recover. We've had some restructuring charges that we've talked about as well.
Jerry Revich - Goldman Sachs Group Inc.: That's helpful color, Dave. And so in the past, you've spoken about low 20s incrementals. Can we do 25% to 30%?
David Sagehorn: I think...
Charles Szews: We don't really see that this fiscal year could happen potentially right now. Again, we do have the headwind of restructuring costs that were going to be rolling through our P&L in the next 2 quarters. And I think that's going to impact that.
Jerry Revich - Goldman Sachs Group Inc.: Okay. So it sounds like excluding the restructuring charge, you might be there?
David Sagehorn: Jerry, we're not going to go on record of saying that we're going to be north of 25%.
Jerry Revich - Goldman Sachs Group Inc.: Okay. And in Fire & Emergency, Dave, can you estimate what was the cost of the disruptions as you shifted production around in the quarter? And then in that context, can you talk about why you expect EBIT to improve sequentially on flattish sales in the business?
David Sagehorn: Sure. It was a little bit north of $3 million in the quarter related to the restructuring and facility moves that we'd previously announced. Looking ahead to the second half of the fiscal year, we do believe that we'll see higher volumes. As we kind of noted on our prepared remarks, we do have a number of international orders that are multi-unit that will help sales volumes in the second half of the year, and then just getting some of the other costs that we saw in the first half of the year behind us, leads us to believe that we will be profitable in the second half.
Jerry Revich - Goldman Sachs Group Inc.: And lastly, Charlie, at this point now, a lot of M&A opportunities that have the kind of valuation that we're looking at for Oshkosh stock here. Is stock buyback moving higher on your -- in the Board's prior list for 2012?
Charles Szews: I think presently, our number one priority is to continue to repay debt and you're going to see that as our priority for the next few quarters. At some point, we will turn to acquisitions. We do think that there are some exciting opportunities there, but our present plan is to pay down debt, ramp up the FMTV program and improve margins on that program and really, our facility optimization programs overall.
Operator: Our next question is from the line of Charlie Brady of BMO Capital Markets.
Charles Brady - BMO Capital Markets U.S.: With respect to the FHTV contract and the bridge contract you spoke of, they obviously been looking to buy the design rights and you call out in the 8-K the fact that the bridge contract would likely include the purchase of the design rights to the FHTV. And I'm just wondering, is that likely to happen then and kind of what you think the impact of that would be? And you also mentioned that they're now coming, looking at going after the MTVR to get the design rights there as well. Do you think ultimately, you'll end up selling the rights of the MTVR as well?
Charles Szews: Okay. On the FMTV bridge, certainly FHTV bridge, we are in discussions with our customer. There's a process ongoing that the customer is following the executed and bridge contract. We haven't been alerted to the kind of numbers that could be in there and the length of the bridge contract. But we do expect that ultimately, as part of that bridge contract, there'll be some negotiation for the IP and technical data package for the FHTV program. Our customer, let's just leave it at that, that we do expect that to be part of it. With respect to the MTVR, we are hopeful at this time that we will not have to sell the technical data package. But that isn't a done deal.
Charles Brady - BMO Capital Markets U.S.: And can you just remind me, maybe you said it already, the timing of when you might hear some finality on the bridge contract?
Charles Szews: Well, the way things are right now in the Department of Defense and challenges they have with budget drills, et cetera. And the uncertainties that they're dealing with, I really couldn't give you a date when we're going to have this result. What I can tell you is that we really need to resolve it by the end of the fiscal year but I couldn't tell you.
Charles Brady - BMO Capital Markets U.S.: If I can have one more follow-up. Just on fire, you comment on the operating margins for fiscal '11 of being significantly below 2010. Is that before or after the 2010 impairment and restructuring charges?
David Sagehorn: That would be excluding the 2010 charges.
Operator: Our next question is from the line of Andrew Obin of Merrill Lynch.
Andrew Obin - BofA Merrill Lynch: Just a question on contribution from M-ATV in the quarter. Could you give us a sense what parts revenue, not just the kits, but parts you had in the quarter and what expectations you have for the next couple of quarters?
David Sagehorn: We had no vehicle, complete vehicle sales of M-ATV in the quarter. So the $249 million was all parts related, parts and service-related.
Andrew Obin - BofA Merrill Lynch: And how much of that were like kits?
David Sagehorn: The lion's share is going to be kits.
Andrew Obin - BofA Merrill Lynch: Okay. And what's going to happen next quarter? How should I be thinking about that?
David Sagehorn: We have the 2,080 underbody improvement kits. We believe that will largely be fourth quarter. I think we'll see M-ATV-related parts and service in the third and fourth quarter. Third will be less than fourth and I don't have a lot more fidelity to give you on third versus the second quarter. Those are like the orders we have now, Andrew. If new orders come in, that can change those numbers a little bit but that's what we know now.
Andrew Obin - BofA Merrill Lynch: I'm going to ask another question on the Fire & Emergency. When we spoke last quarter, I think the sense was that Fire & Emergency margin drag was a one-quarter issue. I just want to understand just a little bit more color what happened in the quarter? And just from an operating standpoint, what needs to happen for margins to go back up? And I apologize if you've addressed that already.
David Sagehorn: Andrew, regarding the comments last quarter, I think we had talked about full year. We did expect that we were going to be breakeven or a little above in the second quarter. We underperformed on that. Part of that was driven by volume. We also had an adverse mix of products in the quarter that impacted results. We had the restructuring related activities that impacted results that we've discussed previously. There were a number of other smaller one-off items that individually are not significant. But there were a few of those that added in the quarter. Going forward, what we need to do is, and Charlie talked about this, we are working on the cost structure in this business. We are seeing the fire market continue to be down from historical levels. What you're seeing now is orders coming in, in less than lead times, we need to engineer them, we need to work with the supply chain to bring the materials in. We're addressing to make that process more efficient given the lower volumes that we're seeing in this business.
Charles Szews: Let me add into that, Dave. We're going to be setting our production rate, some of the issues that Dave described of having difficulty getting parts within lead time is because the production rates are probably too high and the orders aren't coming in fast enough to engineer them before we get them to the floor. So there's going to be a little bit of production rate decline, a little bit of adjustment of our cost structure. And frankly, we need to finish the moves of the businesses into Bradenton, Florida. And then finally, achieve the efficiencies that we initially target when we move those businesses down there. So they're not quite there, we've made a lot of progress, actually, it looks terrific. We're going to ramp that up here over the next few months.
Operator: Our next question is from the line of Alex Blanton of Clear Harbor.
Alexander Blanton - Clear Harbor: Just on the FMTV for a moment. Charlie, you said in an interview with CNBC, when they were visiting you on February 2 that you were going to ramp the FMTV from 10 at the time to 40 to 50 units a day in 7 to 8 months. So that expectation looks like it's dropped to about 30 now. Could you comment on that?
Charles Szews: Sure. Those numbers probably included trailers. We do build a number of trailers as well.
Alexander Blanton - Clear Harbor: Okay. So you're really talking not trailers, when you're talking...
Charles Szews: When I was giving the 10 to 30, I was specifically just talking about trucks.
Alexander Blanton - Clear Harbor: Okay. And secondly on that topic, you said to be profitable in 2012, fiscal 2012. Does that start in the first quarter? Is it going to be profitable each quarter? And the startup costs that you mentioned and $13.5 million for the prior quarter, are they going to go up or down as we go through this year?
David Sagehorn: We are targeting to be profitable in the first quarter next year at the FMTV. And what was the next question?
Alexander Blanton - Ingalls & Snyder: The startup cost, the $13.5 million for the second quarter, is it going to be higher or lower for the rest of the year?
David Sagehorn: We're expecting them to be lower.
Alexander Blanton - Clear Harbor: Lower than that, okay. And finally, just a sort of a general question. You haven't given any guidance, specific guidance for quite a while. But you've given us a lot of data points for this year in your commentary and a lot of pushes and pulls that are as defense is going to be lower, JLG is going to be higher than previously expected. When you look at the company as a whole, are your expectations for the remainder of the year in sales and earnings, have they gone up or down from where you were 3 months ago for the company as a whole considering all these different movements?
Charles Szews: Yes, I guess, our guidance, our view would be, it has trended lower and primarily due to the FMTV market, it's a little bit more difficult that we thought. Secondly, as we said in our prepared remarks, because the late passage of the fiscal year '11 federal budget, we're going to have some FHTV trucks split from primarily our fourth fiscal quarter into fiscal '12.
Alexander Blanton - Clear Harbor: So the higher expectations for JLG doesn't offset the lower defense expectations, is that correct?
Charles Szews: Correct.
Operator: Our next question is from the line of Walt Liptak with Barrington Research.
Walter Liptak - Barrington Research Associates, Inc.: I'd like to just do a couple of follow-ups on other people's questions. The underbody kits, have you said what's the revenue or profits are going to be like in that business? And is that going to help to offset -- presumably the margins are higher than that, is it going to help to offset some of the issues with FMTV or is it just the revenue numbers from FMTV are just that much higher?
Patrick Davidson: Dave, jump in here, if I don't it right here. When we announced the 2,080, that's in UCA. And I believe the revenue on that was $100 million. Now that can change much like the other UCA.
David Sagehorn: And when Pat is referring to the UCA, he's talking about an undefinitized contract action. Walt, I don't think we've commented specifically on the margins for the kits themselves. Obviously, they will help to offset some of the negatives that we talked about here in terms of FHTV volume pushing out into FY '12. The ambulance, M-ATV ambulance is taking those out of our estimates and then the FMTV margins.
Walter Liptak - Barrington Research Associates, Inc.: And then just skipping around, with the changes you're making to the Fire business, do you expect that you'll be able to get a higher -- I think this one is being a 10% to 12% operating margin business. Are you making these changes with a higher profit target in mind?
Charles Szews: We're making the changes as the right thing to do. We do think that it will incrementally improve the margins overall for the Fire & Emergency segment. Now as far as your ultimate margin target, the issue there is that municipal spending is down this year. And when municipal spending recovers, I think all these actions that we're talking about will certainly benefit our margins but I just can't tell you when that recovery is going to be.
Walter Liptak - Barrington Research Associates, Inc.: Okay. And then you mentioned the small rental companies for aerial work platforms. And I don't recall hearing about the smaller rental companies in much detail in the past. I guess, historically, how meaningful are they as a customer group?
Charles Szews: Oh, they're meaningful, you bet they are. I don't know if I got a mix for you because it changes so much from quarter to quarter and year to year. But they're clearly a significant driver of the business over time.
Walter Liptak - Barrington Research Associates, Inc.: Okay. And then the growth in the backlog, that's because of the larger rental houses?
Charles Szews: Principally, yes.
Operator: Our next question is from the line of Paul Bodnar of Longbow Research.
Paul Bodnar - Longbow Research LLC: Just a follow-up, I think it was in the last call, you had said on 2012 defense revenues, it should go up pretty good about maybe $2.5 billion, $3 billion of business in there. And I was just wondering, with all the budget delays and some of the issues you're having with ramping up FMTV production, if that's changed or how your expectations are now for '12 on that?
Charles Szews: I think that actually the comment on previous calls were for a long-term, maybe, sustainable target for sales for the business. And from a long-term standpoint, there will be a target for the business to $2.5 million. As far as fiscal '12, specifically, we haven't provided any guidance and I would prefer to wait until later in the year to do that.
David Sagehorn: But FHTV and, Charlie, maybe we need a new comment on that. We talked about some FHTV that moved out of '11. That goes in to '12. So that's good stuff, that's good traditional Oshkosh business that moves in fiscal '12.
Operator: Our next question is from the line of Josephine Millward of The Benchmark Company.
Josephine Millward - The Benchmark Company, LLC: Charlie, in your lowered defense outlook for the year, how much are you assuming from a delayed to the heavy? And what gives you confidence that the orders will come in, in fiscal year '12 with all the reprogramming action going on in Washington and the potential delay to the '12 budget?
Charles Szews: Well, certainly, today as in our prepared remarks, we're looking at 700, 750 trucks potentially of FHTVs that can move out from this fiscal year into next fiscal year because of delays in signing of the FY '11 budget. There are reprogramming actions going on, there are a lot of potential threat. But right now, we feel pretty good about being able to retain it.
Josephine Millward - The Benchmark Company, LLC: Can you talk about how much you're expecting for MRAP parts and services this year? And do you anticipate additional opportunities to modernize or make M-ATV more survivable in the coming year?
Charles Szews: I'll take the second half of the question and Dave will pick up on M-ATV parts. But over time, and I'm not going to give you a time frame of this, we would expect that there are going to be continued opportunities to upgrade the M-ATV, expand uses for the M-ATV, a new variant and that sort of thing. We are, as we speak, offering the vehicle with this underbody improvement kit to improve protection. Could there be further enhancements like that in later quarters or next year or the year after? Certainly, as the threat evolves, the Department of Defense will work with us, I'm sure, to evolve the vehicle to meet the threat in the theater. So I think there are certainly other opportunities. Some of the variants that have come forward, for example, special forces, our variant has some interesting features that Marines might want to put into the base vehicle as well. So I think there are opportunities. I just can't tell you when.
Josephine Millward - The Benchmark Company, LLC: That's fair. Do you have any foreign military sales on M-ATV in your guidance? And you can give us an update on how these opportunities are progressing?
David Sagehorn: We do have some small external or international sales in our guidance of the M-ATV. We do have opportunities that continue to progress. But as we remarked in our prepared comment, international sales move forward at a snail's pace.
Operator: Our next question is from the line of Robert McCarthy with Robert W. Baird.
Robert McCarthy - Robert W. Baird & Co. Incorporated: But I do have a couple of things to wrap up. Can you share with us how big is this SandCat order? Does it ship all this year? And is there opportunity for more business from the current customer?
Charles Szews: Really, our customer has asked us to be, really not to disclose all the facts of this. I prefer not to but we do see additional opportunities next fiscal year.
Robert McCarthy - Robert W. Baird & Co. Incorporated: In your guidance, you're looking for higher corporate expense this year. Can we assume something like a mid-single-digit percentage increase?
David Sagehorn: I think, Rob, if you look kind of where we've been for the first half of the year, it's probably a decent run rate to look at for the full year.
Robert McCarthy - Robert W. Baird & Co. Incorporated: Okay. And, David, can you quickly tell us how many millions of restructuring expense were in each segment?
David Sagehorn: We had between $3 million and $3.5 million in F & E. We actually had a little bit of a negative in access as we concluded negotiations with the works councils there but that was offset by a couple of one-time items, we netted close to, call it, a positive $1 million to $2 million in the quarter, all in, for Access.
Robert McCarthy - Robert W. Baird & Co. Incorporated: And commercial?
David Sagehorn: None in commercial in the quarter.
Operator: Our last question is from the line of Matt Vigarason [ph] with Barclays Capital.
Unknown Analyst - : Just hoping to get a quick sort of general comment on your balance sheet and how you view things. I know you said you will look to continue to pay down debt over the next couple of quarters and then maybe look to acquisitions next year. You brought your net debt level down pretty nicely, and I think bondholders certainly appreciate that. Is there an overall goal over the next couple of years, do you have a ratings target in mind? How do you think about your balance sheet in general?
David Sagehorn: What we've previously said, and Charlie reiterated it again today that what we're going to continue to focus on debt reduction in the near term. We've targeted to get down to let's, call it, $1 billion of debt and that's -- once we get there at that point in time, we probably will start considering other alternatives with the cash flow.
Unknown Analyst - : Okay. And as we think about cash flow over the next couple of quarters, any color you could provide on how you expect working capital to behave in the next quarter to just even general color just to get an idea of how cash flow should play out?
David Sagehorn: Again, I think we said in the remarks that we would expect additional debt reduction through the remainder of the year, although we believe it could be a little bit lumpy between the 2 quarters.
Unknown Analyst - : Okay, but for modeling purposes, you can't comment specifically on working capital or...
David Sagehorn: What I would say as sales levels improved to the third quarter in Access. I would anticipate that we will see an increase in working capital in that segment. And in defense, that's the other big driver. That's largely going to be dependent upon the timing of receipt of payments for our major programs, and we do have performance-based payments on those programs, and that's probably where the lumpiness may occur.
Operator: There are no further questions at this time. I would like to turn the floor back to management for closing comments.
Patrick Davidson: Okay. Well, thank you very much for your interest in our company today. The management team is very focused in delivering for our shareholders, and we will do our best over the coming quarters. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.